Operator: Good day ladies and gentlemen. My name is Eric and I will be your conference operator today. At this time, I would like to welcome everyone to the NXT Energy Solutions’ 2019 Third Quarter Operating and Financial Results Conference Call. All participants will be in listen-only mode for the first part of the conference call, with the ability to ask questions after the presentation by the company. [Operator Instructions] I would now like to turn the meeting over to Mr. George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, Mr. Liszicasz.
George Liszicasz: Thank you very much, Eric. And welcome everyone, for joining us today for NXT Energy Solutions' third quarter 2019 financial and operating results conference call. My name is George Liszicasz and joining me today on this conference call is Eugene Woychyshyn, Vice President of Finance and Chief Financial Officer; Rashid Tippu, Director of GeoSciences for Africa, Asia and Middle East; and Enrique Hung, Director of GeoSciences for the Americas, he’s currently in Latin America working on new contract opportunities. The purpose of today's call is to briefly discuss the highlights of November 14th, release of NXT’s third quarter 2019 financial and operating results and to update the market on our business activities. Following our updates, we will open-up the line for questioning -- for questions. Please note all statements made by the company and management during this call are subject to the readers advisory regarding forward-looking information and non-GAAP measures set forth in our third quarter results press release and MD&A issued Thursday. All amounts discussed in today’s conference call are in Canadian dollars unless otherwise stated. The complete financial and operating results and contents consolidated audited interim financial statements for Q3 2019 were published Thursday and are available at NXT’s website as well on SEDAR’s website. Now, over to Eugene for the financial review.
Eugene Woychyshyn: Thank you, George and welcome everyone. As George mentioned, our third quarter 2019 financial statements and management discussion analysis were filed on SEDAR’s website Thursday and will be available in EDGAR shortly. First, I want to state we are very pleased with the results of our third quarter, especially with CAD4.05 million of operating cash flow and lots of activity happening as we'll go through on this call. From a financial perspective, our focus remained on continuing to control and optimize non-core corporate costs and support the Nigerian SFD contracts. For the third quarter of 2019, our financial results were as follows; there was CAD1.02 million of revenues earned in the quarter and CAD11.98 million year-to-date; 100% of the revenues from Nigerian SFD survey have now been recognized; 90% of the contract payments have now been received to-date. Year-to-date, NXT recorded a net income after tax of approximately CAD5.55 million, or basic CAD0.08 per share, based on 68.6 million weighted average common shares outstanding. On a diluted basis NXT earned CAD0.08 per share based on 73.4 million shares. Year-to-date, this is an improvement of CAD11.12 million over 2018s third quarter year-to-date net loss. For quarter three, NXT recorded a net loss after tax of approximately CAD0.77 million or CAD0.01 per share based on 68.6 million weighted average common shares outstanding. This is an improvement of CAD0.89 million over 2018 Q3 net loss. There was no change in our shares outstanding during the quarter, but as announced this morning, we've entered to an agreement with AGV to purchase up to 4.17 million of their outstanding shares subject to regulatory approval. In addition, we have agreed that AGV's 3.4 million warrants have expired as of October 31, 2019. Total operating expenses including survey costs for the quarter were CAD1.9 million. This included non-cash expenses of CAD0.51 million related to amortization and stock-based compensation expenses. Total operating expenses year-to-date were CAD6.38 million including survey costs. This included non-cash expenses of CAD1.4 million related to amortization and stock-based compensation expenses. Operating activities provided CAD4.05 million of cash during the quarter and CAD2.79 million year-to-date. Cash and short-term investments were CAD6.73 million at September 30, 2019 and net working capital was CAD9.89 million. We have so far received an additional CAD2.5 million of payments from PE Energy in quarter four. G&A expenses decreased by 15% or CAD149,000 in the third quarter, compared to the same time period last year for the following reasons. Salaries, benefits and consulting charges were lower in Q3, 2019 compared to 2018 due to a change to a lower cost mix and corporate staff; two less headcount and allocation of direct salary cost to survey costs. Board of Directors, advisory board, professional fees and public company costs were 21% higher or CAD40,000 in Q3, 2019 as compared to the prior year due to higher professional fees in 2019. Premises, administrative and overhead were 6% higher CAD11,000 in 2019 quarter three as the company improved its information systems security. Business development cost decreased by CAD78,000 in the third quarter of 2019 as company resources were more focused on their business development targets as well as completing work on the Nigerian SFD survey. General administrative expenses decreased by 18% or CAD552,000 2019 year-to-date compared to 2018 year-to-date. Salaries, benefits and consulting charges were lower in 2019 by 22%; due to a change in the lower costs mix and corporate staff, again a two less headcount and the allocation of salary costs to the survey. Board and professional fees and public company costs were 3% lower in 2019, due to lower legal costs in 2018, which were partially offset by higher insurance costs in 2019 because of our increased business activity. Premises, administrative and overhead were 8% higher or CAD44,000 mostly due to the increased cost related to improving our information systems security. Business development costs decreased by a total of CAD224,000 or 65%, again as the company focused its resources on the Nigerian SFD survey, completing the survey or negotiating the survey and again the business development activity much more focused this year. We ended the quarter with CAD6.73 million of cash and short-term investments on hand, and a net working capital balance of CAD9.89 million, of which CAD2.5 million of cash was received in the fourth quarter. With a strong financial position and future potential contract prospects, NXTs Board and Management felt it was a good time to step in with the target issuer bid, when AGV made 4.1 million NXT common shares available. This transaction also included the cancellation of AGVs 3.4 million warrants. In summary, the first tranche of the bid was for NXT to acquire 2.2 million shares at CAD0.30 per share for a total of CAD669,000. Once regulatory approvals are received, an additional 1.9 million NXT common shares will be retired at CAD581,000. The price offered is a 25% discount to the market price as of last week and will retire 6.08% of the outstanding NXT common shares once the approval is received. The position of the Board of Directors and management is that this transaction will benefit our shareholders. AGV continues to be a significant partner to NXT. First, as one of its largest shareholders and second, as we together continue exploring SFD opportunities in several regions in the world in furtherance of our two previously disclosed commercial agreements. We look forward to our continued cooperation. I would now like to hand the call back over to George to further discuss our business update and forward plans.
George Liszicasz: Thank you very much, Eugene. I'm going to start our business development discussions with the Nigeria SFD contract. In the third quarter we have completed all milestones of the 5,000 line kilometers of SFD survey. Over the three week process -- over a three week process, in Dubai, our SFD data was correlated with NNPCs proprietary seismic and other G&G, geology and geophysical data that showed high correlation with all available geophysical information. Once the project close out meeting, scheduled for this -- for the end of this month and the beginning of December is completed, we will be able to disclose additional information. I just would like to mention that NXT is very pleased with SFD survey results and looking forward to continue working with NNPC and it’s subsidiaries for Frontier Exploration Services and Nigerian Petrol Development Corporation, NPDC and the Development of Petroleum Resources and our partner PE Energy Limited. And I would like to now add the Ministry of Energy as well. Today, we have been paid $8 million, which is equivalent to CAD10.76 million of the total contract of $8.9 million equivalent to CAD11.98 million contract fee. Further the contract, the final payment is expected to be released after the close out meeting. Our border and management, especially would like to thank our employees for their commitment to this wonderful project and we are looking forward to the new project with them. Currently, new SFD survey opportunities are being discussed with NPDC, which is a Nigerian Petrol Development Corporation and FVS in the Nigerian Delta and the inland basins.  Operationally, we are in a good position since all permits are still in place. We are also negotiating the sale of additional SFD data. The arrangement is based on a cost plus formula, plus carried interest in any fines. With a first African survey now behind us and substantially paid for, we continue our focus on developing new opportunities in Nigeria and other regions of Africa. The company will provide more information on these initiatives as warranted. If you have any questions on the African initiatives, Rashid Tippu will be glad to address that. On the Middle East initiatives, I would like to mention that over the last few months, we have spent considerable amount of time in the Middle East discussing SFD services with multiple E&P companies. Subsequent to that, NXT had signed sales representative agreements for two countries and provided procurement document to one of the largest E&P companies in the region, follow-up meetings are scheduled for this year. On the Latin America initiatives, I would like -- I mention that Enrique Hung, Director of GeoSciences for the Americas is not able to join us today, as he's currently into his third week of business development work in Latin America. We are actively seeking new SFD project in Mexico, Colombia, Peru and Brazil. Latin America remains a very important key market segment for the NXT and updates will be provided as warranted. On our Asia initiatives, we have discussed during the last investors call, our cooperation and development work with the NOC’s of China, including BGP, Bureau of Geophysical Prospecting and they are progressing well. Dr. Gui and I have just returned from China last week and we are pleased to inform you that BGP, the world's largest geophysical service company and NXT Incorporation with CNPC plan undertake a number of SFD projects worldwide. Immediate plans include meetings with various country managers to define onshore and offshore programs where SFD can be most effectively utilized. As discussed earlier, we have made a targeted issuer bid with AGV. AGV continues to be a significant shareholder and partner to NXT, under our cooperative agreement, we have agreed with AGV to extend the deadline to propose an SFD survey by June 30, 2020. This agreement will allow NXT to begin to build its vertical strategy internationally. Furthermore, NXT benefits from the upside of SFD recommendations as the cooperative agreement is based on cost plus formula and gross overriding royalty interest in oil and gas production rising on lands subject to surveys in specific countries. AGV and its affiliates are promoting the use of SFD in upcoming bids, onshore and offshore regions in the Middle East. On the technology front, I am pleased to report that the European Patent Application for 38 countries has passed examination and expected to be granted shortly. Our plan to fly the Queen Charlotte Fault project is still a priority and will be conducted before commencement of our next project. Another significant development that occurred in Q3 was the appointment of Mr. Frank Ingriselli to our Board of Directors, effective September 4th, 2019. We are privileged that Frank agreed to join our Board of Directors. With over 40 years of experience in the energy industry, Mr. Ingriselli is a seasoned leader and entrepreneur, with wide-ranging energy and industry experience in diverse geographic -- geographies, business climate, and political environment. From 1979 to 2001, Mr. Ingriselli worked at Texaco in a variety of Senior Executive positions, involving exploration and production, power and gas operations, merger and acquisition activities, pipeline operations, and corporate development. While at Texaco, Mr. Ingriselli held the position of President of Texaco Technology Ventures, President and CEO of Timan Pechora Company; owned by affiliates of Texaco, Exxon, Amoco, Norsk Hydro and Lukoil; and President of Texaco International Operations, where he directed Texaco's global initiatives in exploration and development. During his tenure, Mr. Ingriselli, also led Texaco's initiatives in exploration and development in China, Russia, Australia, India, Venezuela, and many other countries. The Board and I look forward to drawing on his broad experience in critic -- in the critical steps in NXT’s growth. In conclusion, I am satisfied with the completion of the Nigerian survey. It is imperative for us to continue delivering results and growth for our shareholders. On behalf of our Board of Directors and the entire team at NXT, I would like to thank you -- I would like to thank all our shareholders for their continued commitment and support. I now ask Eric to open up the line for us to take a few of your questions. Thank you so much.
Operator: Thank you, Mr. Liszicasz. [Operator Instructions] And the first question is from Peter Mork. Please go ahead, your line is now open.
Peter Mork: Hey guys, how are you doing?
George Liszicasz: Good. Thank you, Peter.
Peter Mork: Hey. Couple of questions and kind of starting with something you mentioned at the end, George. The Queen Charlotte Fault, you just said that you -- you plan on doing, that’s still a priority and before the next contract, is that something you could do this year? I mean any kind of -- on the timing, I know there were some issues with the plane and miles you could put on it, but any more detail there you can give us?
George Liszicasz: Yes. We do plan to do this, this year, hopefully. Right now we do have enough time on the plane. And we have a service coming up early January on it, a very short one, just one week. And we are going to have more considerable amount of time actually for the next survey in -- potential in Nigeria, which could be a lot longer period of time for the plane to be await and the last survey was. But we plan to do the Queen Charlotte Fault flight. Yes, it's very, very important for us.
Peter Mork: Okay. And then that segue just into the next question just, kind of, miles on the plane, any other -- in terms of Nigeria, and I mean, it looks like that's -- be great to get some repeat business or, you know in the press, there was some mention of stress field detection amongst other technologies that were used for recent onshore discovery and have -- can you comment on that at all or any feedback you've gotten from maybe an NPCC?
George Liszicasz: I am going to ask, Rashid to respond to that.
Rashid Tippu: Yeah. Peter, unfortunately, you know we are under NDA, and we’ll not be able to share or discuss any update right now.
Peter Mork: Okay.
Rashid Tippu: For the investor, FVS Nigeria management and technical team, they are very pleased with SFD results.
Peter Mork: Great.
George Liszicasz: So that means, we are going to give you a lot more information as soon as we are allowed.
Peter Mork: Great, great.
George Liszicasz: Thanks for what you said.
Peter Mork: And then I guess, lastly, and I'll jump back in the queue. Just in terms of Alberta Green Ventures. This getting pushed out I know you guys stress it, you know, you still have -- you're still partners, you're going to be working together, but any timing of those potential contracts. I mean, it's just before June is what we should be looking at?
George Liszicasz: I think so, AGV has made a decision to diverse that's our understanding and so things are going to be a little bit pushed out. I think maybe Eugene can speak to the deal itself, but we are -- we have no doubt that we are going to work with them on a number of projects, down the road.
Eugene Woychyshyn: Yeah. Just on the issuer bids, we just as we both, George and I mentioned. Just great opportunity for us right now to buyback our shares up to CAD0.30 and when we're in a strong financial position and we're feeling positive that we've got more business down the road. So just, we did a lot of analysis and felt it was the right time to do this.
Peter Mork: Well, that's good to hear. All right. Thanks everyone. I'll jump back in the queue.
Operator: Thank you. [Operator Instructions] The next question is from Charles Hagelin [ph]. Please go ahead. Your line is now open. 
Unidentified Analyst: Thank you. Appreciate your time this afternoon guys. I still am a little curious about this, Alberta Green Ventures thing. A year ago they were willing to pay CAD0.90 and now they're going to sell back CAD0.30. Are they in trouble? Are they not stable enough on their own? Are they cash poor? I just -- I guess I just don't understand why they would trade, CAD0.90 for CAD0.30? And then, I would like to know the status of three contracts that were mentioned in the last call. Are they on the horizon to be completed this year? And then maybe my third question relates to all of that. The stock has really been in the tank for the last 18 months, there's no volume. This price is way down. Is there any thought of doing something to promote the company, because obviously you're doing good things. Nobody knows about it.
George Liszicasz: Thank you very much Charles for your question. I just would like to reiterate you know, what I mentioned. I think that, as far as we know Alberta Green Ventures is diversifying, there are some serious people behind the company. That's all I can say. That's what I know. I just -- for us, it was just a great opportunity to do what we did. And it was the right thing to do according to our Board and management. That's number one. Number two, the three contracts that we mentioned, because of the comments that we cannot go into details, but Peter has mentioned that there are some new developments, new discoveries and so on in Nigeria. There are some delays, as a result of that and that's had nothing to do with us per se, but it affected us, but it will be very, very positive for us down the road. That's what we assume. And all three contracts that you mentioned, they are all on the table. Two of them were mentioned today. One was the new contracts with the NPDC. The other one was basically buying existing data that are outside of their area of interest. But we found some very strong prospective areas there. And that would be for a cash and carried interest. And the third one is basically the infield slides, which are going to be discussed for the next year project, probably end of Q1, Q2. So everything is moving forward as we planned. And let's hope we are going to give you some very positive feedback on it. Regarding the stock situation, we have interviewed a number of companies and the number of PR IR firms and the Board of Directors have made the decision that until we make the announcements, solid announcements on new contract, that's what we're going to build the company on, not on potential opportunities, but actual opportunities. And we plan to engage either an individual in-house or outside of NXT, an IR PR firm to work with us on basically disseminating the good results and the information regarding NXT in North America also in Europe.
Operator: Thank you. The next question is from Jerome Hass [ph]. Please go ahead. Your line is now open.
Unidentified Analyst: Yes. I don’t have a question, but I just wanted to say congratulations to George and the Board for using shareholder capital to buyback some of their shares. We've been pushing for this for a number of years, and I think it sends a very positive signal on the prospects of the company to other shareholders. So, I know I've been critical of your use of capital in the past, so I just want to say congratulations for the use in this context.
George Liszicasz: Thank you very much, Jerome. Thank you. And thank you for your advice. Let's hope we can live up to them now.
Unidentified Analyst: Excellent.
George Liszicasz: Thank you.
Operator: Thank you. The next question is from Michael Mork. Please go ahead. Your line is now open.
Michael Mork: Yeah. This will be for Eugene. It looks like you're going into a cycle where you're going to be making money pretty continuously. I wonder what your -- how much that's going to be sheltered with past tax losses?
Eugene Woychyshyn: We currently have -- if we have a similar surveys probably about four cities carefully, in this case someone -- our tax loss carry-forwards which we reported at the end of last year were approximately CAD40 million. We've got income this year of about CAD5 million. So it's probably, depending on number of surveys we do per year, it's a couple years yet tax loss carried forwards, but we are doing ethical and appropriate tax planning to make sure we are paying our fair share of the taxes, but not too much.
Michael Mork: Okay. That sounds good. And I wonder if you can amplify also on your -- you said you have -- you flew over there, you found some potentially fairly large blocks that may be of interest for Nigeria, and it would be a cash and a carried interest, can you amplify on the carried interest a little bit, what that might be?
George Liszicasz: Well, this is George, Mike, thank you for calling in. The only thing we can say about that at this point that we are negotiating. And so, it's a 4,100-line kilometer opportunity. And the prospects are potentially bigger than what they have found to-date. So it looks very, very positive, and it's coming from the highest level in the country, all the way to the Minister, President and so on and so forth. So it is something that they are very seriously looking at right now, because no technology can do what we did, absolutely no technology. So, especially in the timeframe that it was executed and acquired and delivered and so on. I mean, FTG is still flying and trying to deliver the data, and they cannot do any -- cannot provide any information on reservoir at present. So we are in a very good, very strong position.
Michael Mork: Yeah. The fact that they paid you in cash and they're not know for, I guess, I shouldn't say, but -- I'm just happy that they got paid and the fact that they did means that you're the only game in town for them?
George Liszicasz: Yeah. The real game is hopefully. Do you want to add?
Michael Mork: Okay.
George Liszicasz: Thank you very much, Mike.
Michael Mork: Yeah. Thank you.
George Liszicasz: I wish we could say more next time.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. Liszicasz.
George Liszicasz: On that note, I would like to thank everybody for joining our conference call, and we are looking forward to our next call with more positive results and information.
Operator: Sir, Mr. Liszicasz, I just had another question pop up from Charles Hagelin [ph].
George Liszicasz: Okay. Charles is always.
Unidentified Analyst: Yeah. Thanks. So just kind of a follow-up on my last question about stock price and promotion of the company. I don't think that the company used to promote on business that's expected to be gained like happened in the 2018 PowerPoint presentations. I mean taking the information where you have money in the bank and just the positive information that you have presented in this call and get it out to the public is bound to create demand for the stock and interest in the company. So, that was my point on the stock price. You've got plenty of information to go out there and promote. You just need to find somebody that knows how to do it, along the lines that the company would approve of.
George Liszicasz: Thank you, Charles. I would take that to the Board what you just said. And I'm more than happy to advocate your sentiment, your suggestion. I think it's very important that at some point the company does make a move. And the faster it will make that move, the better it is to understand that the Board of Directors that set the rules and regulations on how we’re going to proceed. But I will take it up to the Board, Eugene and I will take it. Thank you so much. And thank you everybody for participating on our call.
Operator: Thank you. We have one more question from Frank O'Connor. Please go ahead. Your line is open.
Unidentified Analyst: Hi George. It's Frank. And first of all again, the company is doing well and I'm really just making a comment more to underline what Charles just said. I think that the company is doing quite well, but it's almost like if a tree falls in the forest and there's no one there to hear it, doesn’t make any noise. You're making noise. You're doing great things. The company is growing. You're making great contacts, but there's no one -- no one's aware of it and as a result, the shareholders who are along the ride with you now and can see all of this, many of which are underwater because that's just the nature of where we are. I don't think anybody on this call or certainly not me is complaining, but at the same time, you make the investment because you're expecting that it's going to grow. And again, the company is growing, you're doing a lot of great things, it's time to make the world aware is I guess the comment that I'm just going to reinforce that I thought I heard Charles say. That's really all I've got to say.
George Liszicasz: Thank you so much Frank. Really appreciate it.
Operator: Thank you. There are no further questions registered at the time. I would now like to turn the meeting back over to Mr. Liszicasz.
George Liszicasz: Again, for the third time, thank you everyone for participating in our third quarter conference call and looking forward again to discuss the new business initiatives and also the results on our next call. Thank you so much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.